Operator: Good afternoon. My name is Jules, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cambium Networks' First Quarter 2023 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please limit yourself to one question and one follow-up question. Thank you. Mr. Peter Schuman, Vice President, Investor and Industry Analyst Relations, you may begin your conference.
Peter Schuman: Thank you, Jules. Welcome and thank you for joining us today for Cambium Networks first quarter 2023 financial results conference call and welcome to all those joining by webcast. Atul Bhatnagar, our President and CEO, and Andrew Bronstein, our CFO, are here for today’s call. The financial results press release and CFO commentary referenced on this call are accessible on the investor page of our website and the press release has been submitted on a Form 8-K with the SEC. Certain revisions were made within operating expenses in prior periods to conform to the classifications in the current period. These revisions had no impact to operating income. A copy of today’s prepared remarks will also be available on our investor page at the conclusion of this call. As a reminder, today’s remarks, including those made during Q&A, will contain forward-looking statements about the company’s outlook and expected performance. These statements are based on current expectations, forecasts, and assumptions. Risks and uncertainties could cause actual results to differ materially. Except as required by law, Cambium Networks does not undertake any obligation to update or revise any forward-looking statements for any reason after the date of this presentation, whether as a result of new information, future developments, to conform these statements to actual results or to make changes in Cambium’s expectations or otherwise. It is Cambium Networks policy to not reiterate our financial outlook. We encourage listeners to review the full list of risk factors included in the Safe Harbor statement in today’s financial results, press release and our most recent SEC filing included in our most recent Form 10-K. We Q1’23 Financial Results Conference Call Prepared Remarks We will also reference both GAAP and non-GAAP financial measures and specifically note that all sequential and year-over-year comparisons reference non-GAAP numbers except where otherwise noted. A reconciliation of non-GAAP measures to GAAP is included in the appendix to today’s financial results press release which can be found on the investor page of our website and in today’s press release announcing our results. Turning to the agenda. Cambium Networks President & CEO, Atul Bhatnagar, will provide the key operational highlights for the first quarter 2023 and Andrew Bronstein, Cambium Networks CFO, will provide a recap of the financial results for the first quarter 2023 and present our financial outlook for the second quarter and full year 2023. Our prepared remarks will be followed by a Q&A session. I’d now like to turn the call over to Atul
Atul Bhatnagar: Thank you, Peter. In the first quarter of 2023, revenues grew 25% year-over-year fueled primarily by our Enterprise business, our largest product line, which grew 130% year-over-year. Our gross margin, EBITDA, and profitability remained very strong and exceeded the top end of our guidance, which is a testament both to the competitive differentiation of our products, and our team's laser focus on controlling costs. We have built a broad portfolio of differentiated products as well as an efficient operating cost structure, providing us with the profitability to take advantage of the market trends and invest in new products  Cambium’s first quarter 2023 revenues of $77.4 million were slightly above the mid-point of our outlook of between $74 to $80 million announced during the Q4 2022 financial results call. Margins and profitability remained strong, with a gross margin of 52.1%, above the high-end of the outlook, and EPS of $0.24, also above the high-end of the outlook. Our Point-to-Point (PTP) results were affected by the timing a large defense deal discussed during our last earnings call, which we now expect to ship in the second quarter. Within our Point-to-Multi-Point (PMP) solutions, which includes upcoming releases of new innovative products, including advancements in our 28GHz cnWave 5G fixed products, 60GHz cnWave products, and with the final approval of our 6 GHz ePMP 4600 product - we anticipate PMP revenues accelerating in the second half of 2023. Further, late in Q2 we expect to release our exciting new Fiber product, Cambium Fiber - which is powered by our cnMaestro network software, enabling network convergence from a single pane of glass. I will discuss Cambium Fiber in more detail later in this call. Looking at revenues across our product lines. Our enterprise revenues grew 11% sequentially, and increased by 130% year-over-year, as growth was driven by increased supply and strong demand for our Wi-Fi 6 and 6E solutions. Our PTP revenues decreased by 15% sequentially, while improving 22% year-over-year. We continue to expect strong defense shipments during 2023 as we are engaged in an increasing number of global defense programs of record (POR). As expected, our PMP business revenues decreased sequentially, lower by 25% quarter-over-quarter, and 28% year-over-year, as service providers are moving from our current generation of PMP 450 products to the new gigabit technologies including 6 GHz upon the FCC’s approval, which is expected to drive PMP revenue growth during the second half of the year. We expect an increase in revenues from 28 GHz and 60 GHz millimeter wave solutions, and new 5 GHz and 6 GHz products for both the ePMP and new PMP 450v product lines during the second half of calendar 2023 Looking at some notable customer wins and new product developments.In North America, we had an additional win with Nextlink for 6 GHz ePMP to meet RDOF requirements ahead of the formal FCC approval. A service provider in the Midwest selected PTP 850 for a next-generation broadband deployment. We were selected for our superior capacity, ease of deployment, and product reliability. We continue to do well in the enterprise education vertical with a win at a mid-Atlantic medical school which included Wi-Fi and switching. This will be an end-to-end Cambium solution; and we were selected for our simple management, ease of deployment, and superior economic value proposition. In the Europe, Middle East, and Africa region (EMEA) - in Italy, we displaced a competitor with a Cambium ONE Network win at ERG, a renewable energy company that provides wind and solar plants across Europe, for connectivity with a range of Cambium products including our PTP, ePMP, Wi-Fi, and switching solutions. We won this deal due to our strong portfolio of outdoor solutions with compatibility across the entire network, and the ability to manage the network with a single pane of glass. In England, we won a 60 GHz cnWave deal with Voneus Broadband, one of the largest rural broadband providers in the country, rolling out high-bandwidth internet to enhance the lives of rural communities. In the Asia Pacific (APAC) region, we landed a sizeable Network-as-a-Service (NaaS) deal for urban connectivity in Perth, Australia with Pentanet. This NaaS order is for our 28 GHz cnWave™ 5G Fixed to connect homes in the region and includes our cnMaestro X cloud software. The 5G service will increase Pentanet’s service offering and capacity, increasing its ability to service and add more users at a higher data rate. The multi-year deal amounts in total to approximately $4 million dollars. Cambium will also provide wireless connectivity for the 2023 Southeast Asian Games in May. This win is significant as Cambium displaced two Chinese competitors. And in the Caribbean and Latin America (OTC:CALA) region, Pemex, Mexico’s large state-owned oil & gas company, selected Cambium’s PTP products to upgrade their field operations communications, and voice and data to regional offices using our newest generation of unlicensed technology to increase bandwidth capacity. Turning to upcoming product introductions and developments since our previous quarterly update. In the Enterprise market, Cambium announced our high-performance outdoor Wi-Fi 6 and 6E tri-band solution received Trade Agreement Act-compliance (TAA), and is now available for both national governments including civil, law enforcement, national security agencies, and the defense market. This will be the first time Cambium can sell Wi-Fi solutions to the sizeable U.S. government and defense market. Our enterprise business continues to expand with both new products and the ability to reach new customers and markets. Within our fixed wireless portfolio, Cambium announced that broadband service providers currently operating our PMP 450 fixed wireless infrastructure can boost throughput speeds to their customers without replacing equipment. The latest innovative software improvements make it easy for service providers to offer over 100 Mbps services per subscriber using existing equipment to increase capacity and reduce network latency during peak periods. Also, new antenna options can increase range by 30% or more to offer 100 Mbps services to customers who were previously out of reach. With these recent improvements, service providers can maximize their investment in existing access points and subscriber modules by boosting performance with a software upgrade. During past earnings calls we have spoken at length about Cambium’s new 6 GHz solution, the ePMP 4600, enabling the delivery of gigabit data rates to the edge of the network. The FCC is now engaged with test houses on the Automated Frequency Coordination (AFC) process, with the expected FCC approval later this summer. The next transformational product to be released late this summer will be our next generation of the PMP 450 platform, Cambium’s workhorse solution used by thousands of networks globally, with the new PMP 450v, Cambium PMP 450v operates between 5.15 to 7.125 GHz in a single platform and features 4X4 MU-MIMO, and 1.5 Gigabits of capacity. The product is backward and forward-compatible and as a software defined radio, future-proof with the next generation of PMP 450 line of products offering a step function in performance. This summer we will have a significant new product launch with our first ever fiber product named Cambium Fiber, offering network convergence from a single pane of glass management. Cambium Fiber offers the most advanced Passive Optical Network (PON) technology for a complete end-to-end solution. The solutions for service providers offer a combo XGS PON 8 Port OLT and 16 Port OLT with ONTs for both indoor and outdoor use. The solutions are managed via cnMaestro X, our converged single pane of glass addressing both wireless and fiber management. The solutions also enable service providers and enterprises to go from fiber to wireless to Wi-Fi routers, all within a single pane of glass. Interest in the product is extremely high with our initial target market of our current installed fixed wireless broadband customer base - enabling network convergence and ease of procurement from our channels. Looking at our cnMaestro Cloud software - total devices under cloud management in Q1 2023 was over 928,000, an increase of over 3% from Q4’22, and up 17% year-over-year. Turning to our Channel. In Q1 2023, we expanded our channel presence by adding approximately 500 net new channel partners sequentially, and over 1,700 net new channel partners year-over-year, which represents an increase of approximately 4% sequentially and over 15% year-over-year. In March, we held a well-attended executive Managed Service Provider (MSP) event at our San Jose, California office to facilitate future revenue growth during 2023. We continue to expand our reach into new customers around the world, particularly for our Enterprise business. I will now turn the call over to Andrew for a review of our Q1’23 financial results and outlook for Q2 2023 and full year 2023.
Andrew Bronstein: Thanks Atul. Cambium reported revenues of $77.4 million for Q1 2023. Revenues decreased by 8% quarter-over-quarter and increased by 25% year-over-year. As a reminder, Q1 2022 revenue was impacted by severe supply shortages and a lockdown in China due to COVID. On a sequential basis for Q1’23, revenues were lower by $7.1 million. The lower revenues were primarily the result of lower PMP and PTP revenues, partially offset by continued growth in Enterprise revenues. Revenues of $77.4 million increased by $15.5 million year-over-year primarily due to improved supply, partially offset by lower PMP revenues due to less demand from service providers, ahead of the ramp of product transitions to new gigabit technologies. We have seen PMP channel inventory decline in the first quarter, which is reflective of the channel anticipating our new 6 GHz product. Moving to our gross margin. Our non-GAAP gross margin of 52.1% was better than anticipated and one of the best quarterly gross margins in our history, increasing by approximately 430 basis points compared to Q1 2022. The year-over-year increase in our non-GAAP gross margin was the result of higher volumes and a greater mix of higher margin enterprise and PTP products, as well as the initial impact of the price increase completed in November of 2022. On a sequential basis, our non-GAAP gross margin increased by approximately 250 basis points compared to Q4 2022. The higher quarter-over-quarter non-GAAP gross margin in Q1 2023 was the result of an improved mix of higher margin Enterprise products, improved efficiencies, and the initial impact from our November 2022 price increase. In Q1 2023 our non-GAAP gross profit dollars of $40.3 million increased by $10.7 million compared to the prior year due to higher volumes and an improved mix of enterprise and PTP products, and decreased by $1.6 million sequentially. Our longer-term goal remains a consistent non-GAAP gross margin target of 51% to 52% on an annual basis. Non-GAAP operating expenses, including amortization, in Q1 2023 increased by $2.3 million when compared to Q1 2022, and stood at $30.9 million, or 39.9% of revenues. The increase in operating expenses compared to the prior year period was primarily due to higher headcount in R&D and increasing wages due to inflation. When compared to Q4 2022, non-GAAP operating expenses increased by approximately $2.2 million during Q1 2023. The increase in operating expenses is due to inflationary salary increases effective January 1, 2023, and a quarter-over-quarter increase in R&D due to higher staffing costs for development work on new products, as well as an increase in variable compensation. We will continue to maintain our strong cost control discipline, including a recently enacted hiring freeze - with only critical positions now open for hire - to further control our operating costs and to protect our profitability. Our non-GAAP operating margin for Q1 2023 was 12.2%, up from 1.6% during Q1 2022, and down from 15.6% of revenues in Q4 2022. Non-GAAP net income for Q1 2023 was $6.8 million, or $0.24 per diluted share, above the high-end of our previous outlook of between $0.14 to $0.23 per diluted share, and compared to $300,000, or $0.01 per diluted share for Q1 2022, and non-GAAP net income of $10.3 million, or $0.36 per diluted share during Q4 2022. The higher non-GAAP net income compared to the prior year period was primarily due to higher revenues and gross profit dollars, while as expected, lower net income compared to the prior quarter’s results was primarily a result of lower revenues and higher operating expenses. Adjusted EBITDA for Q1 2023 was $10.4 million or 13.4% of revenues, compared to $1.9 million or 3.1% of revenues for Q1 2022, and compared to $14.3 million or 16.9% of revenues for Q4 2022. Our operating model remains solid. We remain committed to consistently driving our Adjusted EBITDA to our long-term target of 18% to 19% of revenues. Now moving to cash flow. Cash used in operating activities was $6.0 million for Q1 2023 and compares to cash used in operating activities of $19.2 million for Q1 2022, and cash provided by operating activities of $4.0 million for Q4 2022. During Q1 2023 cash was used to increase inventories and materials to support new products and the expected increase in defense shipments, and to allow for greater product availability and lower lead times for our customers. In addition, accounts receivable increased mainly as a result of the timing of revenues. While we expect to continue increasing inventories in Q2 2023 as we ramp up for new product introductions, we do expect improved cash generation during the full-year 2023 as we improve the linearity of orders and shipments, and as revenues increase from new products in the second half of the year. Turning to the Balance Sheet. Cash totaled $38.7 million as of March 31, 2023, a decrease of $9.5 million from Q4 2022. The sequential decrease in cash primarily reflects changes in working capital driven by higher inventory and accounts receivable. As a reminder, in addition to our strong cash balance, we have a $45 million revolver with Bank of America which remains undrawn. Net inventories of $68.3 million in Q1 2023 increased by $11.3 million from Q4 2022 and were higher by $28.1 million year-over-year. Inventories were higher sequentially because of the timing of shipments for Defense products in the PTP business, higher availability of components and finished goods in order to reduce customer lead times, and an increase in inventories for the expected ramp of new product introductions during the second half of calendar year 2023. In Summary Cambium’s first quarter results were strong. We had a near-record gross margin and Adjusted EBITDA and EPS were both above the high-end of our outlook. We continue to see improvement in the supply chain environment resulting in shorter lead times for customers. While managing the supply of components during COVID was especially challenging - as many components were in short supply and lead times tripled to 12months to 18 months - our investment in inventory has reduced our product lead times to almost pre-COVID levels. We plan to continue to invest in inventory related to new product introductions and expect to generate cash from operations and increase cash balances during the full-year 2023. Moving to the Second Quarter and Full Year 2023 Financial Outlook. Cambium Networks financial outlook does not include the potential impact of any possible future financial transactions, acquisitions, pending legal matters, or other transactions. Considering our current visibility as of today, our Q2 2023 financial outlook is expected to be as follows: Revenues between $72 to $80 million, representing growth of approximately 4% to 15% year-over-year, and down slightly from Q1 2023 due to sluggish global economies - while our defense business remains strong. Non-GAAP gross margin between 50.3% and 51.8%. Non-GAAP operating expenses between $30.3 million to $31.3 million and non-GAAP operating income between $5.9 to $10.1 million. Interest expense, net of approximately $600,000, and Non-GAAP net income between $4.2 million to $7.6 million or net income per diluted share between $0.15 to $0.27 Adjusted EBITDA between $6.9 to $11.1 million; and adjusted EBITDA margin of between 9.6% to 13.9%. We expect a non-GAAP effective income tax rate of approximately 17% to 21.0% and approximately 28.6 million weighted average diluted shares outstanding. We expect cash requirements are expected to be as follows: Paydown of debt: $700,000, Cash interest: approximately $500,000, and CapEx of $1.5 million to $2.5 million. For the full year 2023 Financial Outlook we expect it to be as follows: Revenues between $327 million to $337 million, representing approximately 10% to 14%. Non-GAAP gross margin of approximately 50.9%. Non-GAAP net income between $33.7 million to $36 million or net income per diluted share of between $1.18 to $1.26 and adjusted EBITDA margin between 14.8% to 15.5%. For the year, capital expenditures are expected to be approximately $13 million to $16 million, mainly driven by an expansion in our R&D labs and equipment, and software costs in connection with new products. Overall, while we are being more conservative with our revenue guidance to reflect the current risks in the global economy, our EPS guidance increased slightly, as we have proactively taken steps to reduce costs through incremental cost controls, including a hiring freeze except for critical positions, and improving the gross margin. I will now turn the call back to Atul for some closing remarks.
Atul Bhatnagar: Cambium is at the cusp of a new phase of growth. We have made continuous progress in the development of new products including our 28 GHz cnWave 5G Fixed, 60 GHz cnWave, and we are getting closer to FCC approval of affordable 6 GHz fixed wireless PMP solutions which will accelerate growth of the PMP business during the second half of 2023. We are adding our first ever exciting new fiber products during Q2 - offering network convergence, and our Enterprise business remains strong, led by Wi-Fi 6 and 6E. Our PTP based defense business continues to have robust growth and diversify globally, and we expect strong growth in Q2 and 2023 for defense. Our vision of the Cambium ONE Network with an integrated converged, highly differentiated fabric is becoming a reality, resonating well with customers by providing ease of deployment, scalability of networks, and lower total cost of ownership as the world deploys next-generation high-performance converged broadband networks. We delivered a strong quarter of financial results with outstanding gross margin based on our technical differentiation and a diverse portfolio of products, delivering excellent profitability, and our balance sheet remains strong. We remain focused on judiciously managing our costs, improving our operations, continuing to invest in innovative products to maintain our technological edge, and expect increased scale during the second half of 2023 which will benefit our future operating results. Finally, I’d like to show my appreciation for our employees, partners, and customers and look forward to a prosperous 2023. This concludes our prepared remarks. So, with that, I would like to turn the call over to the Jules and begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Simon Leopold of Raymond James. Your line is now open.
Simon Leopold: Great. Thank you very much for taking the questions. I’m glad to hear that you’ve announced the upcoming general availability of the fiber products. I know you’ve suggested they were on the way I guess I’m just looking for a little bit better sense of when we should think about the timing of revenue, in other words where is this in your sales funnel. Is this something that would contribute this year or is this more of a 2024 opportunity, just help us understand how that puts this into the model. And then I’ve got a follow up.
Atul Bhatnagar: Simon, thank you, excellent question. When we did Wi [Ph] I’m going to compare a little bit of our lessons. When we did Wi-Fi about 5, 6 years back we went back to our customers and our customers said you guys are giving us PMP, PTP why don’t you give us Wi-Fi. And you know rest of the story what happened in the last 6 years. Wi-Fi is not a $100 million business. We went to customers again and in the last two years they said wow, you guys give us good ROI. You have lower TCO. You have excellent quality, why won’t you give us a single pane of glass and many of our current customers particularly North America, they offer both wireless and fiber. And that’s service is embarked on the program. So Simon to answer your question specifically we’ll start this quarter with early deployments. We already have 4 beta going, we’re incorporating the feedback and our differentiation is simplicity, single pane of glass management and lower total cost of ownership called mid-size service provider, wireless internet service providers. And I think in terms of revenue it as usually it takes time to build the momentum and all that but we are receiving very very good reception as we do the beta testing this quarter and we will shift for revenue later in the quarter. But again, Q2, Q3 probably is still to be ramped up and maybe later in the year you can start to overlay. Maybe Andrew if you want to say anything?
Andrew Bronstein: Yes and that revenue will be included in our PMP product line and incorporated into our numbers.
Simon Leopold: Great. I appreciate that. I was just going to ask where you were going to show it. And then just as a quick follow up, if you could just give us an update on what you’re seeing from the government funded programs – and you’re thinking there?
Atul Bhatnagar: Sure. So what we are seeing is that as we said and I think for the last two, three quarters we expect RDOF funding for our product point to multi point to increase in the second half. We are beginning to see that, and the 6-gigahertz product, the progressive service providers are already deploying to get an advantage in their network. And our current assumption is that later this summer FCC will get all the approvals done. They already have engaged that houses. We are working with them as we speak. So overall, RDOFs second half and BEAD initiative Biden [Ph] initiative will start 24 beginning is my current guess. And each state is going to get significant latitude in terms of how they deploy that $100 million minimum which each state will get. So BEAT 24 starting 24 and RDOF I think we are going to start seeing in the second half as we have maintained in the last calls.
Simon Leopold: Thank you for taking the questions.
Atul Bhatnagar: Thanks Simon.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Scott Searle of ROTH Capital Partners. Your line is now open.
Scott Searle: Hey good afternoon. Thanks for taking my questions. Nice to see the strong outlook into the backhalf of the year. Maybe a two on that front. Looking at the guidance for the year, the midpoint and the range for the second quarter. It still implies a pretty significant uptake in the second half of this year I think at the midpoint would average that $89 million or so in the third quarter and fourth quarter revenues. I’m wondering if you ould help us understand a little bit better, what you are assuming that goes into that. Certainly it sounds like there is some 6 gigahertz starting to come in some 28 gig, some RDOF contribution, but I was wondering if you could go down one layer and kind of provide a little bit more quantification on that front and possibly as well give us some idea of what you think the timeline looks like right now for AFC approval, in terms of what you are factoring into your thought process in the second half of this year?
Atul Bhatnagar: Sure. Thanks Scott, excellent question. So let me answer that. We are pretty engaged with our partners who also deal with FCC as well as ourselves. And as I said test houses are now engaged. They are building the test cases. We are working with them. My sense is that somewhere around August, September is when the approvals will come. There’s a timeline and we have already seen some of the milestones happening, we’re going to lead to that. So timing wise that’s what I think. So Q3 is what we anticipate for 6 gigahertz shipment, revenue and the progressive service providers are already actually trying to get leg up, but Q3 onwards. So for revenue in second half you are absolutely right. We expect 4 or 5 key revenue sources mostly new product introductions to overlay very well. And remember to do this, we are prepared for last 12 to 15 months. This is not overnight we figure it out that we’ll do products when they come out. It has taken us good 15 months. So we have used the time to really reengineer the platforms necessary. So the first one which will absolutely overlay very well is 6 gigahertz pent up demand and the reason I say that is 5 gigahertz to 6 gigahertz is a incremental transition unlike 28 gigahertz or 60 gigahertz millimeter wave. Network operators know how to deal with it. So that's the first key revenue overlay. The second key revenue overlay will in the second half will be some amount of fiber and we are getting very good feedback because of the simplicity single pane of glass easy diagnostics complete solution. So that's another overlay you will see millimeter wave in fact one comment I'll make is 60 gigahertz is getting good traction in CCTV and the security markets and as we go into Q3 and Q4 we'll talk more about that. So 60 is getting good traction there 28 we have good 10 POCs many of them have turned and we announce every quarter and many of them will turn into you know production so 28 and 60 will overlay and then there is canopy 5 which is 450V which is which is the 450 line 6 gigahertz line supporting 5 and 6 gigahertz that will also ship end of Q3. So you will have probably little Q3 but more in Q4. These are all NPI we have been planning for last 15 months which come in and then RDOF helps us in second half as I said we're beginning to see the RDOF revenue and PMP. Remember first phase of RDOF was always point to point and we know access will get money so starting second half of the year you get RDOF and then Biden initiative kicks in in 24 early. So hopefully that gives you a flavor.
Scott Searle: That's perfect very helpful. And lastly if I could on the follow-up I look at the point-to-multipoint revenue you know certainly point-to-point has performed well the last couple of quarters enterprise has been on fire but point-to-multipoint is still probably about 60 percent below peak levels you know seven or eight quarters ago. How quickly can that come back and is that still an attainable number if we look out over the next six plus quarters for you to get to 60 million in revenue for point-to-multipoint? Thanks.
Atul Bhatnagar: Yes I really believe that access for Cambium is a very primary market affordable access high quality access, and lower total cost of ownership, that's what drives our business. My sense is that 6 gigahertz, PMP450V, and then fiber. These three combined probably by -- it'll take us four quarters or so to get all of these platforms moving full speed. But your second half, 24-ish time frame, you will see these things running in full throttle. And I believe, I believe that whether it's 24 second half or 25, we need to think about that. But you can see what will overlay over time in the PMP business as we accelerate that.
Andrew Bronstein: Yes, I would just add to that that we do anticipate, Scott, that we're going to see a decline in the second quarter in PMP, as we've said last quarter as well. And then in the second half of this year, both in the third and fourth quarter, we do expect sequential and year-over-year increases in that product line.
Scott Searle: Great. Thank you.
Andrew Bronstein: Thanks, Scott.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Samik Chatterjee of JPMorgan & Chase. Your line is now open.
Samik Chatterjee: Hi. Yes, hi. Thank you for taking my question. I guess Atul just to follow up on the last question there and sort of your response about the overlays that we can sort of have visibly into and ramping into the second half of 2024, what's interesting is if I look at your full year guide this year, you'll be exiting sort of the back half of this year still at sort of high single-digit, low double-digit growth rates on a year-over-year basis. And really what I'm hearing from you is for you to maybe get closer to that long-term target of 15 to 17 on the top line. It's more of a second half 24 sort of build into that momentum. Is that the right way of thinking about it in terms of the products, new product cycles that you're trying to ramp into more second half 24? That's where we see the growth rates start to come closer to the long-term growth rate because the second half this year also  seems to be below that.
Atul Bhatnagar: Yes. So, Samik, the way I would say this is we really in some ways have not really guided for 24 second half, but I'm just giving a flavor that it'll be probably in that time frame. Now, by the second half of 24 or early 25, I think some of that will clarify as we accomplish things. But we can see a line of sight with the diversity of products, high differentiation, economic equation, lower total cost of ownership for the service providers. In that time frame, I think those values will be very, very well received. So, overall, I think, again, as we guide 24, we'll come back. But we feel very good where Cambium is positioned after the COVID, the innovations we have done, the differentiation we've built, where we are positioned as macro turns a little bit, economy goes a little in the proper direction. I think customers look for the gigabit network. We are the company. And with convergence play, we're also showing that we will go where the dollars are. We'll go where the business is. We'll go where the customers are asking us to go and offer that fantastic convergence. That's what we have done.
Samik Chatterjee: No, thank you for that. And just a quick follow-up. I know you mentioned in your prepared remarks the conservatism in the 2Q guide because of the macro backdrop. Any more color that you can share? Like, what are you seeing in terms of customers responding to the macro in nature of? Is it more downsizing of deals or cancellations?   I know you mentioned there was one deal that's now pushed out to Q2 from Q1 that you were expecting. But more flavor around what you're seeing and any color on inventory in the channel that your channel partners have at this point of time? Thank you.
Andrew Bronstein: Yes, I'll answer that. A couple of items there. So first on the deal that you mentioned, really wasn't pushed out from Q1 to Q2. We had said last quarter that it will either be Q1 or Q2. And it was a defense deal that we're part of, we're a part of, so we don't have complete control over when the whole thing gets shipped out. So it will be Q2 in terms of our expectation. But when you look at the macro environment, especially outside of North America, where, by the way, we were quite strong in Q1, but when you look outside of North America, between the strengthening of the U.S. dollar and our price increase we did to cover our inflationary costs throughout the year last year, that, along with some of the issues around the banking sector over the past especially six weeks I think has caused the slowdown especially outside the U.S. in terms of what we've seen. And we are being more conservative in the second quarter because of that and we have seen a bit of a slowdown in some orders but we do expect based on talking with our customers that those orders will pick up in Q3 and Q4 in terms of their expectations and we do expect that that our defense business with that shipment that we mentioned earlier the large shipment going out in Q2 will be a positive to Q2 but that will all be somewhat offset by lower revenues from our enterprise business which we don't expect to be nearly as strong as in Q1.So you know that's how I see it playing out.
Atul Bhatnagar: Yes maybe one more point Andrew if I can add is this is in some ways post-COVID environment right the inventories by channel customers that's all being adjusted it'll be it's being absorbed. So I think starting Q3, Q4 it'll become a little more normalcy as it was before COVID. That's why we're being conservative about Q2 and yes the gigabit demand demand for broadband globally those are pretty secular trends as we look at you know in tech and app and beyond. But I will say from a profitability viewpoint we've stayed with our numbers from an EPS viewpoint and in fact slightly increased them for the year because of taking action on the cost side.
Samik Chatterjee: Thank you. Thanks for taking my questions.
Atul Bhatnagar: Thanks Sami.
Operator: Please stand by for our next question. Our next question comes from the line of George Notter of Jefferies LLC. Your line is now open.
Unidentified Analyst: Hey everyone this is Blake [Ph] on for George. Thanks for taking the question. So I know you mentioned that channel inventory right declined in the quarter but it sounds like there's some more digestion to come in Q3 and Q4. Is that the right way to think about that? And then in terms of lead times being back down near pre-COVID levels I'm curious where lead times were at the peak of constraints and where they are now?
Atul Bhatnagar: Yes so in terms of channel inventory it's PMP channel inventory that came down not total channel inventory and in fact enterprise channel inventory went up. So and that's one of the reasons why we believe that it's going to take some time to absorb that inventory and why we brought the numbers down a bit in terms of revenues in Q2. What was the second part of your question? With regard to lead times being back down near pre-COVID levels where were they at the peak of constraints and where are they now?
Atul Bhatnagar: Yes so we're now able to have orders placed and filled within the same quarter whereas during COVID and it really as little as six to nine months ago that was not the case. So our customers now know that so they're placing orders on more of a you know I won't say real-time basis but certainly closer to it in terms of what they were doing pre-COVID and we have the inventory now to be able to satisfy that demand which our customers truly appreciate. Some of our competitors are in a similar position some are not but that we believe has certainly helped us in the market and we're still dealing with some supply constraints in terms of lead times on some components which some of which are still two or three times higher than they were pre-COVID but we're dealing with that through higher inventories and we've been able to satisfy that demand.
Unidentified Analyst: That's helpful and then also curious what type of deployments you're expecting from customers for your fiber product? Will you be weighted more towards brownfield or greenfield deployments? Thank you.
Atul Bhatnagar: Very very good question. Cambium is very focused on mid-tier. You will not see us go after large service providers worldwide. I think we have plenty of fish to fry in the mid-tier market. We have thousands of service providers worldwide who know Cambium very well and most of them I would say have hybrid network wireless and fiber so we are going to concentrate on them. They already use Maestro our management. We're going to give them single pane of glass and we're also going to go after enterprises some city governments, local state governments so there are a lot of lot of opportunity for us in our existing customer base and that's why we have kept simplicity, single pane of glass, and total cost of ownership as very key differentiation. And one more point I want to make is with the advent of AI particularly generative artificial intelligence which is very good for predictive diagonostics and reducing support cost. You will also see Cambium use from a single pane of glass data captured and with these new tools of generative AI it is the right time for us to be doing that. So we are capturing data, we have single pane of glass which makes it easier to get the customer data and then predictive support diagonostics all of those to be done. I think those are all things to come in future, but the stage is set. Thanks Blake.
Operator: Please standby for our next question. [Operator Instructions] Our next question comes from the line of Erik Suppiger of JMP Securities. Your line is now open.
Erik Suppiger: Yes thanks for taking the question. First off, just to clarify, you did say that you're expecting the PMP to decline in Q2. Is that correct?
Atul Bhatnagar: That's correct.
Erik Suppiger: Okay. Inventory has increased a fair amount in the last couple of quarters. Is inventory at the level that you wanted? Is that in the target range? Or where are you in terms of your inventory management? And secondly, who are you competing against? Who are you displacing when for fiber business?
Atul Bhatnagar: So, on the inventory question, I do expect inventory will increase. So, our target is to increase inventory a bit in Q2. And then I would expect that it will begin to level out or even slightly decline through the rest of this year. And as we ramp up for these new products that we spoke about earlier in the new product introductions, many components you have to purchase 12 to 18 months in advance of being able to manufacture them at the time of release. So, this happens over a period of time, and that inventory goes up over that period of time. So, by the way, just to clarify the point on PMP, going back to that, as I mentioned, I do expect a decline in the PMP revenues that's consistent with what we said last quarter  in Q2. And that's quarter-over-quarter. On a sequential basis, however, in Q2, we do expect to see a small increase in PMP revenues on a sequential basis in Q2.
Erik Suppiger: And then in terms of the fiber question, who's going to take that one?
Atul Bhatnagar: Let me give more color on the fiber question. I think the first set of customers we are going after, as I said, mid-size service providers and enterprises, they are also our customers on wireless. Some of them also use our Wi-Fi. So, that's a current set of targeted customers for us. Many are also going to be greenfield, because they know Cambium, how we'll provide them ease of use, ease of diagnostics, and better economics. I think I will answer this question a lot more clearly probably in six months. And yes, I would say first set of target would be mid-tier market. And we will know who we are displacing. First we need to displace, then claim that. Right now, I think it's the early part of our journey. But we are excited about what we are offering.
Erik Suppiger: So, can I ask one quick one? Was weather a factor in your service provider business in March quarter?
Atul Bhatnagar: No, I don't think so. No, I don't think so.
Erik Suppiger: Okay, very good. Thank you.
Atul Bhatnagar: Yes. Thank you.
Operator: Please stand by for the next question. Our next question comes from the line of Paul Essi of William K. Woodruff. Your line is now open.
Paul Essi: Thank you for taking my question. I wanted to follow up on the global impact. I wanted to follow up on the global impact. Can you quantify what impact on revenue the first quarter had in your mind, and then also what kind of a quantification of the second quarter and the full year in your guidance? In other words, what would it have been if the economy was, let's say, where it was last year?
Atul Bhatnagar: Yes, that's really hard to say, but I will say that APAC and CALA are certainly by far our two smallest geos, but the revenue sourced from those regions was pretty significantly down in Q1. But on the other hand, North America was pretty significantly up, so it certainly covered for that. But I do think that the strengthening of the dollar, because as you know, we sell in U.S. dollars, the strengthening of the U.S. dollars combined with the price increase that we did for inflationary purposes and our costs going up throughout last year and the chip increase that occurred January 1 of this year, that all added to some of the sluggishness that we saw outside the U.S.
Paul Essi: Okay. A lot of my questions were answered, but a real quick question. Your gross margins seem to be heading up, and I understand the mix towards enterprise and the government business and PTP with the hardware, their higher margin. Can you give us a flavor for how much software has impacted dissecting it out of the enterprise and how much of an impact that is having on driving your gross margins higher throughout the next year?
Atul Bhatnagar: Yes. I mean, software certainly helped, but when you look at software as a percent of total revenue, when you look at software and recurring services combined, it's still in that 5 to 6 percent range, not a huge uplift from what we've seen in the past six to nine months. So as a percentage of the total, it's remained fairly the same. If you go back to prior periods before that when it was lower than that, certainly that resulted in lesser of an impact. And I think that software, can – the uplift that we're expecting over the next, call it, 9 to 12 months in software and services will result in probably a 1 percent or so gross margin uplift.
Paul Essi: Okay. Thank you.
Andrew Bronstein: Maybe if I can add just one more point to Andrew's. I think our defense portfolio helps quite a bit in gross margin, but equally important is NPI, new product introductions. Every new product we're designing, we are working hard to put more software, more differentiation, and making sure gross margins go in the right direction. And that's what you can see from Andrew's comments, that we are confident now where our gross margin will absolutely deliver a good result this year. And that was not easy because that – to generate that differentiation in this climate, we had to do quite a bit of innovation. That's what you'll see, innovation, differentiation, good price, and making sure that we are delighting customers with what we offer in the complete solution.
Paul Essi: Very good. Thank you.
Andrew Bronstein: Thanks, Paul.
Operator: Thank you. At this time, I would like to turn it back to Paul Schumann for closing remarks.
Peter Schuman: Thanks, Jules. During Q2, 23, Cambium Networks will be meeting with investors virtually on Thursday, May 11th, at the Oppenheimer Emerging Growth Conference, and we'll present and meet investors in person on May 23rd at the JPMorgan TMT Conference in Boston. In the meantime, you're always welcome to contact our investor relations department at 847-264-2188 with any questions that arise. Thank you for joining us, and that concludes today's call.
Operator: Thank you for your participation in today's conference. You may now disconnect.